Sebastian Frericks: Good morning, ladies and gentlemen. Thanks for joining our 3 months '24/'25 Analyst Conference Call. My name is Sebastian, I'm the Head of Investor Relations. And I'm here with our President and CEO, Dr. Markus Weber; and our CFO, Justus Wehmer, who will present the 3 months results, guiding for financials and outlook and discuss some highlights. Afterwards, we look forward to your questions. I'd like to hand over to Markus now.
Markus Weber: Yes. Thank you so much, Sebastian and also a very warm welcome, and good morning, ladies and gentlemen, welcome to the 3 months '24/'25 Analyst Conference of Carl Zeiss Meditec AG and also a special welcome to our special guests. So let's have a brief look at our agenda. I will begin with an overview of the group results. Then Justus will provide more insights into the financials following that we would like to discuss 2 recent key topics, including our sales analysis of Q1 and an update on the VISUMAX 800 approval in China. Finally, I will, as usual, update you on the outlook for the fiscal year -- this year '24-'25. Following this is also, as usual, there will be a Q&A session. So let's get started. So we saw a slight revenue growth as well as the strong improvement in order entry in Q1. Organic sales growth still remains soft as expected at the start of the fiscal year and as we had announced in December. We recorded EUR 491 million revenue in Q1, reflecting a 3.2% increase compared to the same period last year. However, when adjusted for FX and acquisitions, revenue declined by minus 7.3%. This was primarily due to strong prior year comparisons in surgical microscopes and femtosecond laser systems product cycle transitions as well as generally weaker investment climate, especially in China. Additionally, the price decline for IOLs resulting from volume-based procurement in China had an impact. In terms of revenue split, recurring revenue now accounts for 47.3%, owing mainly to the DORC consolidation effect. In order entry, we saw a good recovery reaching EUR 522 million, up 34.2% reported and 34.4% at constant currency compared to last year. Adjusting for currency and acquisition effects, orders still grew by 21.4%. And the positive order trend was seen across all regions. Additionally, an order backlog has increased to now standing at EUR 382 million. However, this also includes some longer-term orders the new KINEVO 900 S that will only be deliverable later in the year and the fear of tariffs in the U.S. also contributed to the order entry growing. So the trend is setting a positive signal for our expected return to growth later in the second half of the year. Before looking at the earnings, I would like to reiterate our EBITA definition. We only factor out the amortization on intangible assets from purchase price allocation not on other intangible assets. Therefore, this KPI is closely comparable to our previous EBIT targets. We reported EUR 35 million EBITA, reflecting a minus 23.5% decline compared to the prior year. This resulted in an EBITA margin of 7.2%, down from 9.7% last year. The EBITA decline was primarily due to unfavorable product mix with some pressure on high-margin categories such as surgical microscope, femtosecond laser systems and IOLs. However, you also see some encouraging underlying OpEx reduction, particularly in R&D. Now I would like to hand over to Justus, who will provide you with more background and we'll discuss the SBU figures in more depth.
Justus Wehmer: Thank you, Markus, and also good morning, and welcome from my side. I'm now going to give you a more detailed overview as Markus just said on the financial performance of SBU ophthalmology. We achieved EUR 376 million revenue in Q1, representing a 7.1% increase at constant currency, 7.2%. Adjusted for currency and acquisitions, revenue declined by 7.1%. This decline is largely attributed to product cycle effects and refractive equipment and price declines in IOLs in China. In the prior year period, the volume-based procurement pricing was not yet effective resulting in a higher comparison base. EBITA margin has seen a slight improvement of roughly 1 percentage point, reaching 4.8% compared to 3.8% last year. This was achieved despite unfavorable mix effects, thanks to a positive contribution from the DORC consolidation and cost control measures, leading to lower underlying OpEx. In terms of revenue split, ophthalmology contributes 76.7% of total revenue. Within Ophthalmology, recurring revenue now accounts for 56%. Microsurgery sales recorded EUR 114 million, reflecting a 7.8% decline compared to last year's EUR 124 million. Reasons are a weaker neurosurgery business, primarily due to the product cycle transition to the KINEVO 900 S and lower sales in China as customers delayed purchases amid expectations of potential stimulus measures. In the prior year period, Microsurgery still benefited from the order backlog conversion, which provided a relatively high comparison base. EBITA margin has contracted to 15.1%, down by minus 11.1 percentage points from last year's 26.2%. This contraction was mainly driven by a lower top line and a weaker product mix with the higher margin neurosurgical category much weaker than last year, ahead of the new product ramp up, which will help us later in the year. In terms of revenue split, Microsurgery accounts for 23.3% of our total revenue. Within this 18.8% come from recurring revenue streams such as service contracts, rates and instruments. By regions, EMEA and Americas saw stabilization while Asia Pacific was under pressure mainly due to China. Revenue in Americas reached EUR 134 million, reflecting an increase of 19.3% compared to last year's EUR 112 million. At constant currency, the growth was 18.6%. The increase was mainly driven by the consolidation of DORC, while organic growth remained moderately positive. In the U.S. revenue -- in the U.S., revenue has returned to growth trajectory and order entry even stronger. Revenue for EMEA reached EUR 174 million, up 11.2% from last year's EUR 157 million at constant currency, a plus of 11.8%. Without the DORC contribution, there would have been a slight decline, solid underlying growth in core markets, such as Germany, U.K. and Nordics continue to drive strong performance. Revenue for Asia Pacific declined by minus 11.5% and at constant currency by minus 11.4% from EUR 206 million to EUR 183 million. This was driven by weaker sales in China, impacted by the product cycle transition in refractive equipment, tough pricing comps in IOLs and restrictive investment in equipment. Japan and Korea also experienced a slow start. India and Southeast Asia maintained positive trends. If I now I look at the P&L lines. Gross margin was 51.4% was slightly below previous year's level due to unfavorable product mix, volume-based purchasing related price cuts in IOLs and also part of the higher amortization on PPA contained in the cost of goods sold. Underlying OpEx, excluding the DORC consolidation were down by around EUR 10 million from last year as a result of strict cost control measures. This decline was mainly driven by the reduction in R&D expenses, mainly because of the relatively weak organic top line. The OpEx ratio still has not turned around, which we expect to achieve with better revenue momentum during the remainder of the year. Sales and marketing and admin expenses were higher due to DORC consolidation and integration expenses, PPA amortization and higher IT expenses. Consequently, both EBIT and EBITA and the respective margins declined compared to last year. Our net income dropped from EUR 37 million to EUR 16 million in earnings per share from EUR 0.42 to EUR 0.18, a minus 57.1% decline compared to last year. This was impacted by the decline in reported EBIT, including the amortization of purchase price allocation on DORC, negative foreign exchange hedging results and higher interest expenses. Finally, adjusted earnings per share came in at EUR 0.36, down 22.3% year-over-year. The adjusted figure excludes noncash valuation effects on contingent purchase price liabilities in the financial results. However, the foreign exchange hedging result remains unadjusted as it should offset over time with foreign exchange influence on operating results. On Slide 9, you see a table which provides a brief overview of the bridge from EBIT to EBITA and to adjusted EBITA. Regular amortization on purchase price allocations amounted to EUR 7.2 million in Q1, including DORC effect of EUR 6.5 million and smaller effects from former acquisitions. In adjusted EBITA, again from public grants received in China for our IOL production were factored out. Currently, there are no other special items. Adjusted EBITA amounted to EUR 33 million, a minus 28% decrease. The adjusted EBITA margin stood at 6.7% compared to 9.7% in the prior year. Now finally, a quick overview on the cash flow statement for Q1. Operating cash flow decreased to minus EUR 26 million compared to last year's EUR 1 million. This decline was mainly due to a weaker operating result and a slight increase in account receivables. Investing cash flow also declined to minus EUR 18 million, down from minus EUR 0.4 million last year. This was driven by lower investments in CapEx, both tangible and intangible as well as a decline in treasury receivables. CapEx spending represented 4.3% of revenue in Q1. Financing cash flow increased to EUR 50 million, mainly due to an increase in treasury payables. By end of Q1, net financial debt slightly increased to minus EUR 366 million from minus EUR 327 million at the end of last fiscal year, mainly refinanced by shareholder loans from the parent company. And with that, I hand it over to Markus.
Markus Weber: Thank you so much, Justus. And now let's move to the key topics I would like to talk about the VISUMAX 800 approval in China and then show you some more detailed sales data on Q1. So let's get started with the VISUMAX 800. I'm very happy to share the exciting news that shortly ago, our VISUMAX 800 was approved in China. The time line was a bit earlier than our latest forecast. It's a broad approval, including both lenticule extraction and flap cutting together with VISUMAX 800 and MEL 90. We now are offering SMILE Pro LASIK and PRESBYOND to the market. As a reminder,  PRESBYOND is patented presbyopia procedure by ZEISS designed for middle-aged patients who wish to eliminate their need for reading glasses. Let me recap several technology advancements of VISUMAX 800 compared to its predecessor equipment. At the core, is its great speed with lenticule cut or the flap cut done in 6 to 8 seconds, leading to increased safety during the procedure by reducing the risk of our so-called suction loss. VISUMAX 800 also has an enhanced automatic alignment in centration as well as a much smaller footprint. The new machine is also integrated into the connected workflow. It helps surgeons achieve faster procedures and more efficiency while also offering support to reduce sources of error. As we highlighted at the earnings conference last year end, over 15% of the current devices in the country are already older than 8 years, creating strong demand for replacement. Our customers in China are keen to restore to procedure pricing after intense price competition in the market. And the VISUMAX 800 will play a key role for hospitals to gain higher patient traffic. Consequently, we anticipate some growth in the ASP of both devices and treatment packs. As discussed in the reporting period, a weak organic revenue trend continued. However, we can clearly see that it was primarily driven by product cycle transition of VISUMAX 800 in China in KINEVO 900 as well as pressure on our IOL business. VISUMAX and KINEVO deliveries declined significantly in Q1 versus last year. This was not unexpected as VISUMAX 800 is approaching in China in news about KINEVO 900 S coming into Western markets broke in the fall of 2024. We expect a recovery in these key equipment sales over the course of the year with the new models additionally, IOL sales were lower due to volume-based procurement. The year-on-year comparison will get easier as we move through the year. Apart from these challenges, other equipment and consumables categories continued on a path of stabilization. On a positive note, we saw a significant increase in our order backlog, particularly for KINEVO 900 S, demonstrating good acceptance in the market and making us a bit more optimistic for the coming quarters as this product ramps up. The market share outlook for both OPT and MCS remained strong for fiscal year '24/'25, supported by improving order entry for these new products. Finally, let's move on to the guidance of fiscal year '24, '25. Our guidance, as stated at last year's end earnings calls remains unchanged. For fiscal year '24/'25 we still anticipate a challenging global macroeconomic environment to persist with no quick significant recovery expected in the investment climate for equipment and continued pressure on consumer spending for elective procedures. For '24/'25, we expect revenue to return to moderate growth driven by the stabilization of recent order intake and the full year consolidation of DORC, the amount of organic growth will depend heavily on macro conditions. EBITA and EBITA margin will develop stable to slightly higher compared to the prior year. Cost containment measures will remain in place to maintain a maximum a sideways trend in underlying expenses before the impact of DORC's full year consolidation. New product launches, including the KINEVO 900 S and VISUMAX 800 in the key markets and the additional approvals provide some upside potential depending on the speed of ramp-up and the timing of approvals. The same goes for potential China and other local stimulus packages out of public funding, be it for the consumer or the medtech industry. Regarding recent U.S. tariff developments, we do not have manufacturing plants in Mexico or Canada. In China manufacturing products are not exported to the U.S. Our U.S. production is relatively small and includes certain diagnostic devices, micro, mono IOLs, cogen and catalyst. The majority of our key products sold in U.S. are imported from Europe and Asia. Order entry at the beginning of the fiscal year has slightly benefited from the fear of tariffs, there remains a risk of later reversal of that trend. For the long term, gradual EBITA margin increase is targeted in subsequent years, supported by growth in recurring revenue streams. Sustainable potential for the EBITA margin is seen in the range of at least 16% to 20%. With this, I thank you for your attention. Now we are looking very forward to your questions.
Operator: And first off is Oliver Reinberg from Kepler Cheuvreux.
Oliver Reinberg: Two questions from my end if I may. I mean the first one would be on the Chinese New Year. Can you just provide an update like how the season developed? What have you seen in terms of volume trends and also during the season, have you seen any kind of incremental pricing pressure in terms of high-speed prices? And also, any kind of color you can share when obviously the competitor STAAR Surgical talked about a significant further decline in China is this also your expectations? And the second question just on the VISUMAX 800, obviously, quite reassuring to see this kind of earlier-than-expected approval. Can you just provide an update on what have you seen so far in terms of initial demand trends -- and can you also provide a bit of more clarity on the kind of pricing strategies? Is there anything that you can do to basically move also volume back from larger to small?
Markus Weber: Oliver, thank you for your questions. Maybe Chinese New Year and what's going on there? So first of all, the Chinese New Year is this year a little bit earlier than in the year before. And as you know, it was in the end of January now, and we are still not full through the cycle. But maybe just to say that in that way, we don't see now any disruption coming, which is changing our prediction for the rest of the fiscal year. So that means we see a stabilization in the market, especially in the refractive laser surgery. And so from this point of view, also with our higher installed base, as you know, we had a significant increase in our installed base. We see that overall kind of stabilization in the market. But to be very fair here, the dynamic is so huge and so fast so that it's really hard for us and also predict what will happen in the next couple of months, especially when there will be geopolitical impact and influences coming in. But overall, we see kind of -- as we actually predicted and as we also reported to you already the months before we see not a change in the underlying sentiment. Concerning the VISUMAX 800, and as you said, how to bring up the crisis here. So first of all, we are keeping really a high pace in innovation. That's the reason that we invested significantly in the last years in R&D. Actually exactly when the crisis comes and when it's shaky that we have good innovations and that we can gain market share view. And that's exactly what we see. So that means that the VISUMAX 800 and the LVC, the laser vision correction segment, we see that we have a huge advantage now with SMILE Pro and also in combination with the visualized 4.0. So that means the posttreatment analysis and treatment there, so where we can give the patient actually a full journey and suite of best customer and patient experience. And this is exactly what we are also seeing in the Chinese market now. So that means our customers are very keen and very excited now with the new product coming in. Also, as we reported in the previous years, now also that we are entering in new applications like hyperopia treatment but also especially the presbyopia treatment. And this is something we are consequently now following.
Oliver Reinberg: And can you just say the price in the high street has that further deteriorated now in the season? And again, on this kind of SMILE versus LASIK, is there anything you can do to influence the shift. I guess when the client is now installing VISUMAX 800, you can't perform the old SMILE on this machine. Is that correct?
Markus Weber: Well, so I think, first of all, so what can we do for the LASIK? So we are offering all procedures what our customers want to use, so that they are successful with their patients. And what we are offering actually to turn it around, again, both SMILE and SMILE Pro in that way. And again, I think SMILE and SMILE Pro is the preferred procedure when it really comes to premium outcome. That's something where we do customer education so that we really help to give them the best results because this is finally what matters, but then also patient marketing. And that's also something what we learned a lot in the couple of last years in China and what we are intensifying. So that's the first thing. Secondly, in terms of what you asked concerning SMILE Pro. Well, I think we are offering SMILE Pro and VISUMAX 800 and with this also giving the customer the opportunity to ask for higher prices because it creates more value for the patient. And that's the reason that this is the preferred setting. And from our point of view, it doesn't make really sense for our customers to offer still SMILE because SMILE Pro makes a big difference. And then finally, it's up to our customers than to bring that offering also to the patient.
Operator: And the next question is from Anchal Verma from JPMorgan.
Anchal Verma: I have 3 questions, please. Firstly, at Q4 results, you imply that guidance would be quantified or clarified with more granularity at Q1. Why has that not happened? What changed in the last few months that make you more cautious around putting targets in the market? And has visibility improved at all? I'll take 2 questions after this.
Justus Wehmer: Well, frankly spoken, I'm somewhat surprised, I think we're confirming the guidance that we gave, and I cannot remember that we said that at this point in time, we would give further clarification. The clarification we are giving with the data that we shared for Q1 and with the outlook that we have and uncertainties, as you know, remain high. But other than that, I think nothing to comment on it. In terms of cautiousness, I'd say we have, at this point in time, not really gain much more visibility. As Markus just said, we do not yet have the full results of the spring peak in China for our refractive business, although I'd argue that within our expectations. The consumptions that we see are pretty much performing on the levels that we had anticipated. On the one hand side and the other, I think, major influence -- potential influence on our business is, of course, for further tariff escalations, but from that perspective, we do not yet see what either in the U.S. or in China is really happening to this respect. So therefore, I'm sorry, but I can't give you more clarity right now because it has not yet really visible. So I think that is what I have to say to your first 2 questions.
Anchal Verma: No worries. I'll ask my second and third, please. At the top line, can you quantify what you mean by moderate growth? Consensus has mid-single-digit growth but obviously, this speaks on the recovering in the refractive market in China, which, to your point, sounds like the overall refractive procedure volumes that your peers report overnight is seeing a downturn on, you haven't seen such worsening of the trend. I'm just trying to understand if you can give us any more clarity on the top line guide.
Markus Weber: Okay. So I'm not sure whether I got all your comments and questions. But when it comes to what we mean, this model of growth is, as we always said, first of all, that we want to grow at least as the market or outgrow the market. This is exactly what we see currently. And secondly, when we are talking about modest or, let's say, growth there. So we are talking about a low single-digit growth as we also -- as you and we reported in the past. So this is what we see currently in the market. And I think it depends also very much on the respective market composition. And as you know, we have roughly -- our business is roughly 1/4 in China. And as Justus said and as I said, obviously, we see overall here definitely some soft conditions, but overall stabilization and where we see also opportunities because of our new innovations.
Anchal Verma: And my last question is just on VBP, please. Apart from the pricing impact you've seen how has the volumes been developing? Can you share any things you've seen in terms of market shares evolving and any change in market shares?
Markus Weber: Yes. So without going now in numbers, but just to let you know, we see a very strong increase in -- also in our units in volume. So that means overall, we expect in terms of volume, our market share increase.
Operator: And next up is Jack Reynolds-Clark from RBC Capital Markets.
Jack Reynolds-Clark: So first, on the life cycle piece. You talked about a strong order backlog in KINEVO. So I'm wondering if you're seeing the same in the VISUMAX 800. And also has kind of the commentary around kind of customers holding off for these launches come directly from customers? And if so, kind of what proportion of customers that are saying this are actually kind of placing orders? And then on the gross margin, could you quantify the respective impacts from kind of the surgical microscope sales decline versus kind of other categories and then also VBP? And then just another follow-up on VBP. Could you run us through your expectations for the full year? Are you expecting a continuation of what you've seen in Q4 and Q1 continuing through the remainder of the year?
Markus Weber: I'll take the first and the last one. I think gross margin, Justus, you can comment. So maybe starting with what we see in the order entry and the conversion of old systems and new systems. So overall, yes, we see that there will be no trade-ins coming in, especially for the VISUMAX 800 in China and also to be expected as soon as we get the approval for the , let's say, suite of procedures in U.S. for the VISUMAX 800. We expect to have that also over the year to get it from the FDA. So that means, overall, we see that actually sales and also customers are preparing now to trade-in, and that's the reason that we are also preparing our manufacturing operations to fulfill these demands as fast as possible without creating overcapacity, but that's the first thing. NVBP, yes, overall, we are fully on plan in terms of what we actually predicted and also what we have designed in that way. And so we expect that the positive momentum of NVBP will continue in terms of units, but to be aware of, I think, and that's also something what we communicated is that the basis of the NVBP is to bring down the purchasement and procurement prices. And that's also what we see, but our strategy was to move over from monofocal more to the premium business and also more to the private sector. And overall, what we see is that our strategy is unpacked.
Justus Wehmer: And your question on gross margin, Jack. First of all, we do not disclose gross margins on a product level. So therefore, I can only give you some indication that, obviously, with the KINEVO 900 S being launched as the premium product in that SBU. We would clearly expect that we will see our gross margins for our MCS business returning to similar levels that you have seen in previous years at least in terms of pricing and cost structure, I think the product should allow for that. And yes, I think that is what I have to give you as answer on that.
Operator: And the next question comes from Graham Doyle from UBS.
Graham Doyle: Just one on sort of short-term China refractive and then one longer term. In terms of the VISUMAX 800, I'm sort of just trying to get an understanding as to how this actually stimulates demand. And is that what you're expecting in terms of procedures. It's just given right now, the installed base might be a little bit old, but it also looks like it's probably underutilized. So what makes you think that actually putting more machines in the market will help procedure demand? And then secondly, when we do the math in terms of what you've disclosed previously around China consumable pack sales, refractive sales more generally. On my math, I get to maybe 25% to 30% of group EBIT coming from China refractive. And I'm just thinking over the next sort of 5 years or so, would you expect that business to be growing at all? Would you expect it to grow high single digits, double digit, just to get a sense of where you think this very profitable pool of business goes over the midterm? And what sort of underpinning is that will be super helpful for people to understand, I think.
Markus Weber: Graham, good to have you on the call. So what makes us confident that the VISUMAX 800 will hold our customers. First of all, we see different steps in terms of procedures and outcome of procedures as I said before. So what we did was now stimulating the market with the VISUMAX 500 and SMILE combining just this Visualize 4.0. And obviously VISUMAX 800, we have SMILE Pro and then your full suite is Visualized 4.0 in the micro. And this brings, first of all, really a great value to our customers. And on top of that, as I said, we are also pushing now in the new market or in a big market of presbyopia and also in China. So this is overall what we see, on the one hand, we see this market, which is the [indiscernible] we developed pretty nicely with the myopia market and more to come there and maybe to come then directly to your second question. So it's really -- Graham, it's really hard to predict, to be honest, because we see on one you see that huge potential. We see the safety of the procedure and we see that there is a big demand in the market. And the biggest market is still China, the penetration in other markets, we see also good growth rates in other markets like in France, for instance, like now coming in U.S. We strongly believe that SMILE has great also potential to replace LASIK in U.S. So overall, there are really a lot of good potential, but this is something we have to crack and we have to make sure that this is now coming. But overall, I see a good potential for refractive. Is it growing like it was in the past? To be honest that I don't believe. But you don't know because, again, the market dynamic and also the consumer confidence, it's a critical element here. But again, I just have been a couple of weeks ago in Asia talking to a lot of customers. Overall, the excitement is super high. And from this point of view, the procedure is good. It's very well positioned. And from this point of view, we are looking with confidence in the future.
Graham Doyle: That's really helpful. Maybe just a quick one on the STAAR Surgical numbers last night. In terms of they have -- it sounds like they had an issue with their inventory. Is it fair to say you guys have a pretty good look through on what inventory you have in the channel versus your sort of sell out to consumers. Is that fair to say? And therefore, do you feel much better position than perhaps they were ?
Justus Wehmer: Graham, as you know, I think our advantage is that we do understand the procedure consumption and the laser shots. And as you know, we can basically with only a little bit of delay, we can really count what is being consumed, and therefore, it's pretty easy to assess how much is in the channels. So with all respect, but I think nobody who was listening to us in the last 3 or 4 earnings calls, should actually be surprised that with the statement of STAAR yesterday. I mean we just were earlier giving you the clarity in terms of what's really happening in the street in terms of consumptions. And I think you all should carefully assess the real message that was sent out yesterday before you take that as your basically model assumption for what's happening in the market.
Operator: The next question comes from Richard Felton from Goldman Sachs.
Richard Felton: Two questions for me, please. The first one is a follow-up on China refractive. Could you tell us what your split was between SMILE and LASIK procedures during Q1? And how that compares to previous periods, please? That's the first one. The second question, can you provide any additional color on what was driving the improving momentum in order intake in Q1 between product or markets? And then how soon you expect that to flow through into better revenue trends.
Markus Weber: I take maybe the color question, and then Justus  will talk about the split. So first of all, as I said, also in the previous calls, we have seen in the last years up and downs created by the pandemic. And then with the inflation ongoing and so on. And in these waves and shocks waves went through actually the market and often the investment behavior of our customers. So when you're looking to last year, then actually last year, the first quarter was actually dominantly colored by, first of all, is still a very strong order book what we released over the first quarter. So that means top line was and book-to-bill was below 1 and a pretty weak order entry. And we always said that this has to be compensated and has to be normalized and stabilized, and this is exactly what we see now, Richard, that, first of all, the order entry comes back to normal level. As you know, last year, U.S. was pretty weak. This has no kind of turnaround and now coming but especially driven by new innovations. And that's also something maybe you guys remember what we discussed all the quarterly calls before. Yes, we had a strong investment in R&D and made an R&D push, but by good reasons because we wanted to bring new innovations to the market. And it's exactly what you see now. You see now actually a bench of new innovations with the registration coming to the market and the investments, what we did now in the last years are creating now a kind of return of what we see now. And that's exactly what we see with the KINEVO 900 S, VISUMAX 800, than the new procedure. So as you know, we launched our ELANA ramping up than the hydrophobic portfolio. Now with DORC, there are some synergies, what we see, especially in U.S. and China because it's the first base market, where we are having a full integration ongoing. So all of these things are now coming in and creating value for us. And finally then for our customers, the patients and then our shareholders.
Justus Wehmer: Okay. Richard, and on the SMILE LASIK share, just roughly you have, right now, a 70-ish to 30-ish ratio between SMILE and LASIK. So around 70% SMILE, around 30% is LASIK. And if you go back a year or so, it was more in the neighborhood of 80-20. So this is what we are talking about in terms of shift.
Richard Felton: And maybe just a follow-up on the mix shift. I mean, if you take that sort of Q1 number and compare it to sort of Q4, for instance, has there been further different deterioration? Or are you seeing a stabilization in the mix?
Justus Wehmer: It is not a significant difference there. And again, I remind you that as we speak, we are basically still going through the consolidation of the numbers for the spring peak and that will be meaningful to actually see whether the trend has shifted or has not shifted again. So therefore, have a little bit patient until we can give you there more clarity.
Operator: And the next question comes from Dylan van Haaften from Stifel.
Dylan van Haaften: So just a couple from my side. So maybe just to zoom in on China, just like everybody else has as well. But maybe if we just look at the overall revenue, and when we take out the destocking impact which was more limited, if I -- memory serves in the 1Q last year. What was roughly the decline sort of in high single-digit, double-digit type terms? And then I have 2 more follow-ups.
Justus Wehmer: I think corrected for the destocking impact I'd say we are talking still on a -- just have to quickly run the math here. But I think it is still in a, let's say, mid- to high single-digit reduction.
Dylan van Haaften: Excellent. Very clear. And just sorry to zoom in on the competitor news. But if we look on the cash flow side, I saw there was a bit of an accounts receivable increase and given the rate and the commentary from your competitor just on the latency of Chinese distributors. Is there anything happening on the Chinese distributor side? I know 70% is distributed by the ZEISS AG, is there anything happening on the non-ZEISS distributed component of Chinese distribution?
Markus Weber: No. [indiscernible] without knowing what others competitors have maybe, yes, but on our side, we don't see any I'd would say, [ deadly end ] or something like that, no.
Dylan van Haaften: Perfect. And then my final question. Just on Slide 13, you guys highlight VISUMAX and essentially a revenue decline and just on equipment. And so I just wanted to understand in terms of the phasing of the order book, because I know China is obviously being 25% of the market for -- sorry, 25% of revenues for you guys and being a very big refractive market is very important. But VISUMAX 800 outside of China has been approved for a while, right? So how come the order book dynamics are phasing this way? Is there essentially, let's say, a bit of saturation of the VISUMAX 800 outside of China and, let's say, early days on the ramp-up in China. Is that the way we should look at it?
Markus Weber: Well, Dylan, maybe to comment on this. So first of all, it is exactly what I tried to convey and explained before. During COVID, we had greatly book-to-bill. So we're actually a lot of customers really actually ordered directly VISUMAX because out of the fear of high inflation and price increases ongoing. And this order book has been now released last year. So this was also -- when you look into historic data, it was clear that this was by far beyond the normal, let's say, growth rate we expect, and this was now actually, as you said, that would be a kind of separation based on this effect. Do we see now an overall saturation of the market? Well, currently, as you know, in China, actually, the market is pretty much under pressure, not only because of the consumer confidence but also because of the government is very restrictive in terms of budgeting public hospitals. And so this creates a full, let's say, competition of, let's say, tough headwinds. And nevertheless, we are really nicely from my point of view, nicely positioned also now in comparison to competition in this tough environment because of our new innovation. That's really something I would like to highlight. So we have actually brought now a lot of new innovation to the market, which creates a lot of value for our customers and to the patients. And this is something what we believe will create a return. Yes, the markets are currently under pressure, as you know, today Korea, they have their challenges, they're having their challenges. Every market has their challenges and opportunities we believe that we are very well positioned in these markets.
Operator: And the next question comes from Sam England from Berenberg.
Samuel England: First one, just given where margins came in for Q1 and your commentary previously about additional potential cost savings you could find this year, if needed. I just wondered if you're looking at those additional cost cuts at this stage and sort of given how demand shape up in Q1 and would any additional cuts you may be more likely on the R&D side, given I'm assuming you need to invest in sales and marketing this year to support the new product launches. And then secondly, can you give us a bit of an update on how DORC is performing, particularly on an organic growth basis? And how does order intake for DORC look like, especially in the U.S.
Justus Wehmer: Sam, Justus here. So on the cost-cutting situation, I'd say, as we guided and I think we mentioned in the last earnings call. Our target is to having acquisition adjusted OpEx going sideward. And yes, you're absolutely right with the launches that we have just discussed right now. We obviously do have some additional pressure on sales and marketing expenses. And in total, we obviously are then compensating it with just more reluctance on R&D spending, but also please consider that now with the major introductions of the of the most important big-ticket equipment in the market. We also, I think, can afford there to have a little bit of a slower development in cost. So having said that, I just expect that we continue on the course of keeping the acquisition corrected OpEx going sidewards. On your question on DORC growth, I'd say the answer is pretty short. We are actually satisfied with the growth rates. They continue to basically deliver per expectations, which means depending on the market. But on average, clearly high single-digit percentage growth rates year-over-year. We do see that actually across the board, also including the U.S., I do not have a detailed U.S. number at hand right now. But overall, I think we are very satisfied, and I can add that for whatever it's worth because it's not a number that we are reporting, but we do see actually the project list in the countries where we have now started to cross-sell that the project lists are indicating that we get a lot of additional leads into the channel. Of course, that is not yet order entry and not yet revenue, but it actually confirms our investment thesis on the DORC acquisition.
Operator: And next up is Oliver Metzger from ODDO BHF.
Oliver Metzger: The first one is about the phasing of recovery over the next quarters. So you mentioned some easing VBP headwind, the VISUMAX launch, [ beginning of ] order backlog. So could you elaborate about the moving parts you see right now? And what does it mean really for the phasing of sales for the next quarters? Second question is on VISUMAX 800. You mentioned the positive ASP effect. How should we think about the ASP effect for the consumers, for the treatment packs.
Justus Wehmer: Oliver, Justus again. On the recovery for the next quarters, I mean, again, it's -- I'd say the seasonal patterns that you know from our business, I think, apply, we will see some recovery in Q2. We were now depending on the order entry and installation speed of the lasers we do, we will then see that falling into probably rather end of Q2, early Q3. And then obviously, the question is, again, with the consumer confidence in China, improved somewhat or not. And depending on that, it will pretty much dictate what we can expect for the summer peak on top of the revenue that we have from the  VISUMAX launch. Not to forget at the same time, we will build the order book for the KINEVO -- and also there, the bulk of the deliveries will be in the Q3 going into Q4. So in a nutshell, you once again will see a year where I think the momentum will be probably in the last 1/3 of the fiscal year between June and September. Until then, we will have probably some trend recovery, but I wouldn't expect any dramatic changes from what you have witnessed in other fiscal years, yes? So I think that is the big picture. And again, as we have guided, the upsides are very much a function of the speed of the approval for the VISUMAX in the U.S. because that, of course, can provide a significant business opportunity also then falling rather into Q3 and Q4. Yes. And that basically is pretty much the model that was guiding us to give the guidance that we gave. So -- and all that, of course, provided that there is no insanity in terms of any trade wars between the U.S., Europe and China. That, of course, is not built into our model. And I don't know, VISUMAX 800 ASP, I don't know -- so overall, we don't see now that the ASP is dramatically further declining, Oliver. So I think for the models. So we expect or, let's say, a stable ASP development over the year. In terms of product mix, as we said before, for the RTPs and the procedures we would expect also here a kind of stabilization of the product mix in terms of LASIK verus SMILE, SMILE pro with the potential to have that premium procedures getting some upside.
Oliver Metzger: Apologize for not being clear enough. I was focused on the -- for VISUMAX 800 or SMILE pro, the treatment packs, do you see there a price increase compared to the SMILE treatment packs?
Markus Weber: Yes, yes. This is the plan, yes. Yes, sure. So I think this is positioned as a premium procedure because it creates more value to the customer, yes, for sure.
Oliver Metzger: Yes. But can you give us just an indication -- is it somewhere in the mid-single-digit territory, the price increased a lot?
Markus Weber: That will be in a high single-digit regime.
Operator: And the next question comes from Falko Friedrichs, Deutsche Bank.
Falko Friedrichs: Three follow-ups from me, please. Firstly, towards the end of your prepared remarks, you dropped that comment that you see the risk that this positive order intake you saw in Q1 might reverse a little bit given that there might have been a pull forward ahead of tariff discussions. Can you add a little bit more flavor to that statement? And sort of what exactly makes you worried that this could, in fact, reverse in the second quarter, again? And secondly, it very much sounded to me like this fiscal year, hinges a lot on this June to September period in China again. When you speak with your people, your colleagues in China, do you get the sense that this would require some type of stimulus measures from Chinese government to stimulate demand again? Because I mean June is in 3.5 months from now, it's not that long anymore. What do you think it takes to get this underlying Chinese demand for the procedure going again? And then lastly, very quick -- could you give us a bit of a flavor for the second quarter and whether this could turn into positive organic growth? Or is it more of the same in terms of absolute sales and EBITDA figures compared to the first quarter.
Markus Weber: Okay. So maybe starting with the first question. So the positive order entry, why us -- we are still cautious or cautious -- so maybe first to bring that to the underlying statement. Are we still on the call? Okay. Good. Can you still hear us? Oliver?
Falko Friedrichs: I can hear you well. Yes, I hear you.
Markus Weber: Okay. So first of all, as I actually highlighted before, so we have now a lot of new introductions of product and innovation coming to the market and also just the registration coming to the respective markets there. So that means the underlying sentiment is first of all, is reasonable and positive. Nevertheless, they're currently, as obvious -- on a daily basis, seeing that the VUCA world is just increasing, it's really hard for us to say what will happen and what will might hinder actually to fully harvest these investments. And this is reason that we believe that the positive order entry, what we have seen now in the first quarter was also as reported, stimulated partially then also by topics like tariffs now and so on. This is something we have to see how this is developing, and that creates the high uncertainty. In terms of the stimulus measures, so there -- to be fair here, so there's 2 different elements. So the first element is stimulus measures coming from the government going to public hospital and overall, the health care medtech industry and market here and the customers. And -- and this creates then a different investment schemes when it comes to devices, but also procedures because we are aware of also the physicians in the public hospitals are getting their premium also by the government in terms of the procedures they perform. So that's the one part. The second part is the overall consumer confidence, and this is really, I think, the big difference to the so-called nonelective procedures what we have, for instance, acquired the stock. So here, the confidence and consumer confidence is critical and the money is there. So it's not a problem of the money on the bank account. It's more about the investment confidence of the people and especially of the young people with a high unemployment rate currently, especially in the academics. This can be changed fast in the moment when the government releases than the stimulus packages and give them a good feeling how actually the future will look like. And I would make it really depending on that. I think the interest of the Chinese government and also us is the same so that we want to bring high confidence to the consumers. So from this point of view. Yes, it can turn fast in both directions, depending on that, how actually the overall economic situation in China will develop. So in the second quarter, that was the question in terms of, I'm not sure, it was...
Justus Wehmer: I mean, the second quarter, as we just said, yes, China has just returned from their 2 week New Year's -- Chinese New Year vacation. So too early to tell what we will then ultimately get as reported numbers. As we initially said, we need to combine. January, February, March typically is a strong month for us. And at this point in time, I have no reasons to believe why it should be not this year. And from that perspective, just expect pretty much a normal seasonal pattern, with a somewhat better Q2. But again, also depending on the numbers that we will be receiving out of China.
Operator: And next up is Alexander Galitsa from Hauck Aufhäuser  Investment Banking.
Aliaksandr Halitsa: Just a quick few add-ons. Maybe on VISUMAX, the new generation in China. Do you have generally a sense to what extent this new VISUMAX orders will go towards the expansion of the installed base versus the replacement. That's the first one.
Markus Weber: Well, I think, to be honest, this is -- we don't have any direct numbers on this, but it depends. So we know that -- so first of all, maybe the overall climate in China is that currently some hospitals went bankrupt in [indiscernible] and that's a big trend in the Q1. So it was, for us, still a positive momentum to see if we even won some new customers. So this is good and that will continue. Overall, I believe that our main goal is not now to aggressively expand our installed base with potential customers bringing then our treatment under pressure. So we want to have premium customers, premium trained, premium certified. And that means that our VISUMAX 800, one of our key strategies is, first of all, to secure that our established customers and installed base is renewed and that we can deliver perfect and highest quality than to the patient and that's the main theme. So our strategy is not to aggressively now increase our installed base. Our strategy is to use our premium customers to give the best experience to the patient.
Aliaksandr Halitsa: Understood. And another 1 would be on IOLs. -- referring to the Slide 13, you showed. I'm just wondering your showcasing the 19% decline year-on-year in Q1. Would you be able to add color around how much was the volume growth in Q1 and now basically having digested the headwinds from price reductions, what are your general expectations for the IOL volumes for the full year?
Justus Wehmer: Alexander, Justus here, yes, obviously, I can give a bit more color. So in volume trends, we are actually tracking pretty nicely for our expectations. That means significant double-digit percentage growth both in premium and the mono focus. So that is working out quite nicely. And again, just to remind everybody, our strategy was that we did not discount very aggressively on our premium lenses, and then also benefit from higher price realization in the private sector clinics. And what we see so far, actually, that is working out quite nicely. So yes, you are right. Obviously, in euros, it looks -- at first sight, not so pretty, the year-over-year comparisons. But strategically, I think we have so far been proven right and what we have done and going through the year, as we always said, we would hope that with the volume increase coming for expectations that we then net-net at some point should even on a lower margin per product. But then in total for -- with the higher volume benefit with some additional gross profit contribution. So that's where we are.
Operator: And the follow-up question comes from Graham Doyle from UBS.
Graham Doyle: Follow-up. Just a quick one on margin phasing. And there's a big step-up implied in the consensus margin for Q2. But are we -- are you expecting margins to step up in Q2 and sort of sustain that level? Or should we expect margins just to be improving quarter-on-quarter-on-quarter if you know what I mean, as we get through the year? What sort of phasing are you planning for?
Justus Wehmer: Again, Graham, as I has said before, everybody knows a lot depends now on how China's spring peak is turning out. I would at this point in time simply with the lack of having this piece of information already available, rather say step by step by step and not big deal.
Operator: [Operator Instructions] And we have a question coming from Julien Ouaddour from Bank of America.
Julien Ouaddour: I mean, I'm Sorry, if you already addressed it during the Q&A. But [ as per your ] comment to this, my ratio seems to be around or maybe slightly below the 70%, which implies a bit of down trading from customers. But with the price increases on the new VISUMAX 800, I'm not just not afraid to see further down trading pattern and like this ratio to reduce slightly more going forward.
Justus Wehmer: Julien, all we have seen in the past was that I think nobody mastered so well to sell technology to patients than our Chinese customers. So from that perspective, no, I do not see that risk. Actually, as Markus said before, I actually think that in the market environment, our customers will use the SMILE pro procedure actually to market exactly the safety benefits for the patients and also we'll try to therefore command a premium on it. That's all I can tell you from the experience in the past.
Julien Ouaddour: Okay. Okay. Perfect. And maybe just like following up with that. So like Staar Surgical, I think yesterday said roughly like the refractive procedure in China could be down 10%. Have you provided your own -- like your own forecast on this call? Sorry, I don't remember.
Justus Wehmer: I don't know what Staar yesterday said, but I would assume we have said that 6 months ago.
Julien Ouaddour: So I mean, so you said, 6 months ago that procedure will be down 10%, right? And so you stick with that?
Justus Wehmer: If you recall correctly, in terms of procedures, we said that it was fluctuating and oscillating. And in the totality of the year, we have had in terms of procedures seen a somewhat cycles development, if Staar now sees a decline I can't comment on the numbers, but I can tell you that I'm not surprised that the most expensive procedure that is offered in vision correction is potentially suffering also more than others just by logic. But again, then you rather ask Staar than us...
Operator: [Operator Instructions] There are no further questions.
Markus Weber: Good. Then I did thank you for the Q&A. I'm looking very forward to the next quarterly call. And with this, all the best, and have a great day, and goodbye.